Operator: Good day, and thank you for standing by. Welcome to the Innospec Third Quarter 2025 Earnings Release and Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, David Jones, General Counsel and Chief Compliance Officer. Please go ahead.
David Jones: Thank you. Welcome to Innospec's Third Quarter Earnings Call. This is David Jones, and I'm Innospec's General Counsel and Chief Compliance Officer. The earnings release for the quarter and this presentation are posted on the company's website. During this call, we will make forward-looking statements, which are predictions about future events. These statements are based on current expectations and assumptions that are subject to risks and uncertainties that could cause actual results to differ from the anticipated results implied by such forward-looking statements. These risks and uncertainties are detailed in Innospec's 10-K, 10-Qs and other filings with the SEC. Please see the SEC site and Innospec's site for these and related documents. In today's presentation, we have also included non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measure is contained in the earnings release. The non-GAAP financial measures should not be considered as a substitute for or superior to those prepared in accordance with GAAP. They are included to aid investor understanding of the company's performance in addition to the impact these items and events had on financial results. With me today from Innospec are Patrick Williams, President and Chief Executive Officer; and Ian Cleminson, Executive Vice President and Chief Financial Officer. And with that, I turn it over to you, Patrick.
Patrick Williams: Thank you, David, and welcome, everyone, to Innospec's Third Quarter 2025 Conference Call. This was a mixed quarter for Innospec with continued strong operating income growth and margin expansion in Fuel Specialties, offsetting lower results in Performance Chemicals and Oilfield Services. Performance Chemicals continued to deliver sales growth over the prior year, where gross margins declined as expected on higher cost, price management and weaker product mix. These combined factors drove results below our expectations, but we are executing on multiple top line cost and other margin improvement opportunities identified in the business. Late in the third quarter, we began to see a positive impact from our initial actions, and we are optimistic that we will deliver sequential operating income and margin improvement in the fourth quarter. Over the medium term, we have a strong pipeline of margin-accretive opportunities across all our end markets, and we are working to accelerate these actions. Fuel Specialties had another strong quarter with double-digit operating income growth and improved margins. Margins continue to track at the upper end of our expected range, and our outlook is for steady performance in the fourth quarter. Oilfield Services operating income declined sequentially and versus the prior year on lower-than-anticipated Middle East activity due to customer timing and phasing. We are optimistic that we will deliver sequential operating income and margin improvement in the fourth quarter as Middle East activity returns and our new DRA expansion comes online. We remain focused on margin improvement in all segments. Our outlook does not assume any resumption of Mexico sales. Now I will turn the call over to Ian Cleminson, who will review our financial results in more detail. Then I will return with some concluding comments. After that, Ian and I will take your questions. Ian?
Ian Cleminson: Thanks, Patrick. Turning to Slide 7 in the presentation. The company's total revenues for the third quarter were $441.9 million, similar to the $443.4 million reported a year ago. Overall gross margin decreased by 1.6 percentage points from last year to 26.4%. Adjusted EBITDA for the quarter was $44.2 million compared to $50.5 million last year, and net income for the quarter was $12.9 million compared to $33.4 million a year ago. Our GAAP earnings per share were $0.52 compared to $1.33 recorded last year. Our headline results for the quarter include $24.4 million in charges, which had a negative EPS impact of $0.57. These charges are composed of $42.9 million of assets and intangible impairments and restructuring charges related to the expected lack of near-term recovery in our QGP business in Brazil, our Mexican oilfield production business and our U.S. oilfield stimulation business. These charges were offset by an $18.5 million reduction to the fair value of contingent consideration associated with the 2023 acquisition of QGP. Excluding these and other special items in both years, our adjusted EPS for the quarter was $1.12 compared to $1.35 a year ago. Turning to Slide 8. Revenues in Performance Chemicals for the third quarter were $170.8 million, up 4% from last year's $163.6 million. Volumes fell by 2%, offset by a positive price/mix of 3% and favorable currency impact of 3%. Gross margin of 15.1% decreased 7 percentage points compared to 22.1% in the same quarter in 2024 due to higher costs, price management and weaker product mix. Operating income of $9.2 million decreased 54% from $20 million last year. Moving on to Slide 9. Revenues in Fuel Specialties for the third quarter were $172 million, up 4% from the $165.8 million reported a year ago. Volumes were down 7% with price/mix up 7% and a positive currency impact of 4%. Fuel Specialties gross margins of 35.6% were up 2 percentage points above the same quarter last year, benefiting from a stronger sales mix and disciplined pricing. Operating income of $35.3 million was up 14% from $30.9 million a year ago. Moving on to Slide 10. Revenues in Oilfield Services for the quarter were $99.1 million, down 13% from $114 million in the third quarter last year. Gross margins of 30% increased 1.7 percentage points from last year's 28.3% due to a better sales mix. Operating income of $4.8 million decreased 32% from $7.1 million a year ago. Turning to Slide 11. Corporate costs for the quarter were $18.2 million compared with $11.8 million a year ago, which included an $8.4 million recovery of historic pension costs. The adjusted effective tax rate for the quarter was 22.5% compared to 24.6% in the same period last year due to the geographical mix of taxable profits. We expect the full year adjusted tax rate to be around 25%, moving on to Slide 12. Cash flow from operating activities was $39.3 million before capital expenditures of $22.2 million. In the third quarter, we bought back almost 123,000 shares at a cost of $10.7 million. As of September 30, Innospec had $270.8 million in cash and cash equivalents and no debt. And now I'll turn it back over to Patrick for some final comments.
Patrick Williams: Thanks, Ian. We continue to prioritize gross margin and operating income actions in Performance Chemicals and Oilfield Services, and we expect to deliver sequential growth in the fourth quarter. We remain focused on a combination of sales, price cost actions, new technology, commercialization and other opportunities to drive sustainable improvement. In addition, we expect Fuel Specialties to continue to deliver strong results. Operating cash generation was again positive in the fourth quarter, and our net cash position closed at over $270 million. We have significant balance sheet flexibility for M&A, dividend growth, organic investment and buybacks. This quarter, our Board approved a further 10% increase in our semiannual dividend to $0.87 per share, and we continued our record of returning value to shareholders with $10.7 million in share repurchases. Now I'll turn the call over to the operator, and Ian and I will take your questions.
Operator: [Operator Instructions] And your first question comes from the line of Mike Harrison from Seaport Research Partners.
Michael Harrison: I wanted to start with a couple of questions on the Performance Chemicals business. I was hoping to start that you could give us a little more color on what's going on with the gross margin there, a couple of hundred basis points of sequential decline there. Did the oleo chemicals raw material headwind get incrementally worse this quarter? Did mix get worse sequentially? Were there other factors? And I was hoping you could also address what you mean by price management as one of the issues impacting margin in Performance Chemicals.
Ian Cleminson: Yes. Let me take that first, Mike, and Patrick will come over the top with some comments. What we saw in July and August was the continuing headwinds from the oleo chemicals. That's put pressure on our pricing and our pass-through ability. I think what's important is that as we've moved through September and into October, the actions that we talked about on the last call have started to take effect. We've seen the business improve from the gross margin perspective, and we're expecting the Q4 gross margin to be much closer to 18%. So that's up a full 3 percentage points sequentially Q3 to Q4. Also, I think it's worth remembering that in Q3, we do have a slower period in July and August, particularly in Europe with the shutdowns and the holiday season. So it's always a little bit weaker. I think the important thing is that our demand remains really strong. Volumes remain good. We've got a lot of work that we need to do internally. We've done some of that. We've got more to do. The team are on it, and we're starting to see the positive impacts of that coming through.
Patrick Williams: Yes, Mike, we talked about it in the previous quarter, actually previous 2 quarter calls that we had a lot of actions that we had to take to manage margins better than we have in the past. And as Ian alluded to, all these actions have really come to forth right. We've really done a good job in the last month of this quarter, and we're starting to see it even better going into Q4. So the actions the guys have put in place, whether it's pricing, manufacturing efficiencies, new product, product mix, raw materials, it's just being managed better than it has. And I think we've learned a few lessons along the way, and we should see those improving as we go forward.
Michael Harrison: All right. And then can you specifically talk about what are some of the commercial actions you're looking at in Performance Chemicals? I think you referenced some top line opportunities maybe across multiple different end markets. Can we just get a little more detail there?
Patrick Williams: Yes. I mean we continuously have a lot of products run through our disruptive technology group that we introduced to the market. There was a little lull over probably the last year, hence, why our product mix was off a little bit. But we are introducing new products to the market probably this quarter and throughout next year, which will help with the balance. So it's more -- and it's technology, Mike, across all the sectors, whether it's agriculture, mining, personal care, it's really all sectors that we have new product technologies coming through. There was a general lull in the market because instead of looking at the big trends were 1,4-Dioxine-free, sulfate-free, nitrosamine free, that market has now stabilized out and other competitors have jumped in. We're now looking at what's the new move on the horizon. And these are products that we should be introducing over the next 3 to 6 months.
Michael Harrison: All right. Very helpful. And then in the Fuel Specialties business, seasonally, you would typically see better margin performance as you start to get some cold flow improvers and the mix just kind of shifts seasonally. It sounded to me like you're saying you expect that business to be more steady in terms of earnings from Q3 into Q4. So I was just hoping that you could address whether we should see that normal seasonal pickup or if something else is going on.
Ian Cleminson: Yes, Mike, we've had a really good year in Fuel Specialties. The business has executed extremely well on pricing, on top line initiatives, and we've seen the benefit of that coming through in a very strong gross margin performance. As you remember, in Q2, the gross margins were 38%. In Q3, they're at 35%. We expect that 35% to be about the same in Q4, maybe a little bit up, maybe a little bit down, but certainly around that mark, and that's really a function of where the pricing and the timing of that pricing works. As you know, there's a lag up and down. We're seeing a pretty stable environment in terms of raw materials there right now, and as you're right, we'll start to see a pickup in those winter businesses, and we're going to hit around about that $35 million of operating income in Q4, and we feel pretty good about that. That will top off an extremely strong year for Fuel Specialties.
Michael Harrison: And maybe just to ask a little bit more broadly on the outlook. It sounds like you expect sequential improvement in Performance Chemicals as well as Oilfield Services and then maybe flattish in Fuel Specialties. So is the expectation that EPS gets into the, I don't know, $1.20, $1.30 range. It doesn't seem like maybe you have enough tailwind to get up to that 140-ish level that you were at last year.
Ian Cleminson: No, we won't be up at $1.40, mark. Will be above $1. You said sort of that $1.20 to $1.25 range. I think as we sit here right now, we'd be disappointed not to get there. We feel comfortable about October. November is looking good. December, as you can imagine, with year-end customer actions, weather, it can be a little bit variable for us, but that's certainly the range that we're aiming for.
Operator: We will now take the next question, and the question comes from the line of John Tanwanteng from CJS.
Jonathan Tanwanteng: I was wondering if you could touch more on the timing in the oilfield business as it pertains to your Middle East clients and how that runs through in Q4. Is your expectation for the second half the same as it was previously and it just catches up in Q4? Or does everything just push out to the right maybe because there's not enough time to catch up to what was happening?
Patrick Williams: Yes. There's not enough time to catch up. We saw activity starting to pick back up in Q4. It's just timing. There's no loss of customers. It's just timing with customers. It's all Middle East. And...
Jonathan Tanwanteng: To the right as opposed to a catch-up occurring in Q4.
Patrick Williams: Correct. Correct.
Jonathan Tanwanteng: Okay. Understood. And then in Q3, could you just give a little bit more detail as to what drove the underperformance in Performance Chemicals? And then as you go into the Q4, we expect on the pricing to catch up, which is what I think you've been saying all along. Will it catch up to the degree you had previously expected? Or is there more of a headwind there now incrementally in Q4 compared to what you expected before?
Patrick Williams: Yes. There were a lot of issues, and we talked about the last quarter, and those issues remained. I mean it was pricing issues to the customer. It was raw material actions, spike in raw materials. It was a lag in contracts up or down. At this point, we got caught on the downside. It was flexibility of assets. It was product mix. It was the introduction of new technologies, which we'll start seeing in Q4. It was manufacturing efficiencies. There were a lot of things. We had a big spike in growth and sometimes you forget about the internal issues you have to manage. And so all the actions have been in place. And as Ian alluded to, the last month of this quarter showed a very strong quarter or a very strong month, I should say, and we should have some nice momentum going into Q4.
Jonathan Tanwanteng: Okay. Great. Can you speak to the momentum you expect heading into Q1 of next year in that business as you fix all these things and maybe speak a little bit to the underlying customer demand you expect?
Patrick Williams: Yes. Customer demand is strong. We've had no issue with customer demand at all. It's quite frankly, it's just all the things that we just talked about that we had to get internally fixed and obviously, the contracts had to catch up too on pricing. So you've had pricing catch up and then all of a sudden, raw materials spike again and you're now another 3-month delay. And so you get the benefit on the downside, but the upside it hurts you a little bit. But I think for all of us, we're seeing a lot more stability going into Q4, and it should really carry over into Q1 next year.
Jonathan Tanwanteng: Understood. And then lastly, could you just speak to capital allocation? It looks like you bought back some shares. It looks like your stock price might be giving you opportunities here. I'm just wondering if you're more biased there or you're saving your firepower for M&A or other activities.
Patrick Williams: It's still a nice balance. I think you're right at the share price, we're still buying back. You saw that we also increased our dividend. I think that we are seeing some stressed assets out there. So we want to have some dry powder. Obviously, we have to have our internal house managed appropriately as we are going into Q4. But I think for next year, we do want to have dry powder. We are going to continue to buy back at this price, and we are going to continue to increase our dividend. And we've done, I think, a very good job on all ends. But having the dry powder will be key moving into next year.
Operator: That concludes the Q&A session. I will now hand the call back to Patrick Williams for closing remarks.
Patrick Williams: Thank you all for joining us today, and thanks to all our shareholders, customers and Innospec employees for your interest and support. If you have any further questions about Innospec or matters discussed today, please give us a call. We look forward to being up with you again to discuss our fourth quarter 2025 results in February. Have a great day.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.